Operator: Thank you for standing by, and welcome to AutoNation's Third Quarter 2011 Earnings Conference Call. [Operator Instructions] Today's conference call is being recorded. If you have any objections, you may disconnect. I will now turn the call over to Ms. Cheryl Scully, Treasurer and Vice President of Investor Relations for AutoNation. Ma'am, you may begin.
Cheryl Scully: Good morning, and welcome to AutoNation's Third Quarter 2011 Conference Call. Leading our call today will be Mike Jackson, our Chairman and Chief Executive Officer; Mike Maroone, our President and Chief Operating Officer; and Mike Short, our Chief Financial Officer. Following their remarks, we will open up the call for questions. Kate Keyser [indiscernible] and I will also be available by phone following the call to address any additional questions that you may have. Before we begin, let me read our brief statement regarding forward-looking comments and the use of non-GAAP financial measures. Certain statements and information on this call will constitute forward-looking statements within the meaning of the Federal Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve risks, which may cause the actual results or performance to differ materially from expectations. Additional discussions of factors that could cause actual results to differ materially are contained in our SEC filings. Certain non-GAAP financial measures as, defined under SEC rules, may be discussed on this call. The reconciliations are provided in our press release, which is available on our website at investors.autonation.com. And now, I'll turn the call over to AutoNation's Chairman and Chief Executive Officer, Mike Jackson.
Michael J. Jackson: Good morning. Thank you for joining us. Today, we reported earnings per share from continuing operations of $0.48, a record for third quarter results, up 23% compared to the $0.39 in the third quarter of 2010. Operating income increased 19% to $144 million compared to the period a year ago. Third quarter 2011 revenue totaled $3.5 billion compared to $3.3 billion in the year-ago period, an increase of 7%, driven primarily by higher new and used vehicle average selling prices. Based on CNW Research data, in the third quarter, total U.S. industry new retail vehicle unit sales increased 1%. In the third quarter, AutoNation's total new vehicle unit sales were flat and, on a same-store basis, declined 2% as the Japanese earthquake affected availability of vehicles produced by the Japanese manufacturers. This quarter, we once again demonstrated that our diversified business model is the right strategy, as well as our ability to rapidly adapt to change and execute effectively in a changing marketplace. In light of the Japanese supply constraints, we adjusted our operating plan to optimize our inventories and maximize gross profit. While shipments from the Japanese manufacturers improved in the third quarter, the inventory levels for these vehicles remained constrained. We would expect that the improving supply environment will result in sequentially lower margins on these vehicles in the fourth quarter. I'll now turn the call over to Chief Financial Officer, Mike Short.
Mike Short: Thank you, Mike, and good morning, ladies and gentlemen. For the third quarter, we reported net income from continuing operations of $71 million or $0.48 per share versus $59 million or $0.39 per share during the third quarter of 2010, a 23% improvement on a per-share basis. There were no adjustments to net income in either period. Last quarter, we indicated that we expected to receive the remaining incentives under the premium luxury program during the second half of 2011. We did not receive any of these incentives during the third quarter but expect to receive approximately $2 million in the fourth quarter of 2011. This compares to gross profit from incentives of $13 million received in the fourth quarter of 2010. Third quarter revenue increased $233 million or 7% compared to prior year, and gross profit improved by $30 million or 5% for the quarter. SG&A as a percentage of gross profit was 71.5% for the quarter, which represents a 240-basis-point improvement compared to the year-ago period. Net new vehicle floorplan was a benefit of $6.6 million for the quarter, an increase of $1.9 million compared to the $4.7 million benefit in the third quarter of 2010. This improvement was due to lower floorplan interest expense driven by lower credit spreads compared to the prior-year period. Floorplan assistant -- assistance rates also increased compared to the third quarter of 2010. Floorplan debt was approximately $1.51 billion at quarter end, a decrease of approximately $162 million from June 30, 2011, in line with the inventory levels. Non-vehicle interest expense was $16.4 million for the quarter, an increase compared to the $16.1 million we reported in the third quarter of 2010 due to higher debt levels. During the quarter, we borrowed $25 million under our revolving credit facility, resulting in $300 million of outstanding borrowings under the revolving credit facility at the end of September. Our third quarter non-vehicle debt balance was $1.49 billion, an increase of $107 million compared to the third quarter of 2010. The provision for income tax for the quarter was $45 million or 38.8%. By comparison, the tax rate in the third quarter of 2010 was 37.5%, which reflected the benefit of certain favorable tax adjustments. From July 1, 2011, through October 19, 2011, we repurchased 7.2 million shares for $247 million at an average price of $34.45 per share. Today, we announced that our Board authorized the repurchase of up to an additional $250 million of AutoNation common stock. AutoNation has $316 million now remaining in Board authorization for share repurchase. As of October 19, there were 139.9 million shares outstanding. We incurred $50 million in capital expenditures for the quarter, reflecting our commitment to continue to reinvest in the business. For the full year, we expect to incur $145 million in CapEx, net of proceeds from related asset sales. We remain within the limits of our financial covenants. Our leverage ratio at September 30 was 2.38x or 2.11x on a net debt basis, including used floorplan availability, compared to our limit of 3.25x. Our quarter-end cash balance was $67 million, which, combined with our additional borrowing capacity, resulted in a healthy total liquidity of $446 million at the end of September. Our robust balance sheet, strong cash flow generation and disciplined cost structure position us to continue to invest in our business. We remain focused on actively allocating capital to maximize shareholder returns. Now, let me turn you over to our President and Chief Operating Officer, Mike Maroone.
Michael E. Maroone: Thanks, Mike, and good morning. In the quarter, we continued to navigate the Japanese product disruption and economic uncertainty while growing both revenue and total gross profit. We delivered strong new vehicle and finance and insurance gross margins and a solid operating margin of 4.1%, a 40-basis-point improvement year-over-year. Third quarter total segment income of $134 million grew 22% or $24 million compared to the period a year ago with increases across all 3 segments. The $65 million Import segment income increased $14 million or 27% to more [ph] to the second quarter. This improvement is attributable, in large part, to increased new vehicle gross profit as inventory supply remained constrained. The Domestic segment, at $47 million, increased $4 million or 10%. And the most stable segment, Premium Luxury, increased $2 million or 4% to $50 million. As I continue, my comments will be on a same-store basis unless noted otherwise. In the quarter, AutoNation retailed 55,000 new vehicles, up 2% year-over-year for same stores compared to the industry that was up 1% at retail, according to CNW. Even with extremely tight supply of higher-demand models in all segments, we realized increased unit sales of 12% in the Domestic segment and 11% in the Premium Luxury segment on a total store basis. However, these increases were largely offset by a drop of 10% in import volume due to the ongoing effect of the Japanese inventory disruption. From a geography standpoint, Texas continued as our strongest market in the quarter. Florida and our western markets, while in recovery, were more heavily impacted by the Japanese inventory disruption due to the higher mix of large import stores in these states. At $1.8 billion, new vehicle same-store revenue increased $62 million or 4%, driven by increased revenue per vehicle retailed, which, at $33,000, was up $1,900 or 6%, with increases in each segment. Gross profit for new vehicle retailed of $2,456 reflects an increase of $462 or 23% with improvement across all 3 segments. New vehicle gross profit as a percent of revenue was 7.3%, of an increase of 100 basis points compared to the period a year ago. We attribute these improvements to the tactical plan we implemented in the second quarter in response to Japanese inventory disruption. We also continued to utilize our proprietary web-based pricing tool described during our second quarter call. The tool captures various market pricing metrics and establishes target in floor prices by model. While we are very pleased with strong new vehicle margin growth, we expect some moderation as inventory levels continue to normalize. I'll also note that, in the fourth quarter of 2010, our new vehicle margins benefited by about $250 on a per-vehicle basis from additional performance-based manufacturer incentives. At September 30, new vehicle days supply was 45 days or 34,000 units compared to 57 days or 42,000 units a year ago. Looking ahead, our new vehicle inventory will continue to build throughout the fourth quarter and we expect to reach normal levels in the first quarter of 2012. Turning to used vehicles. AutoNation retailed 43,000 used vehicles on a same-store basis in the quarter, up 1% versus the period a year ago. Our used-to-new ratio in the quarter was 0.79, up from 0.76 a year ago. Same-store retail used vehicle revenue of $776 million increased $33 million or 5% year-over-year. Revenue per used vehicle retailed of $17,600 was up $560 or 3% as industry used vehicle prices remained strong in the quarter due to consumer demand and tight inventory availability. Same-store retail used vehicle gross profit of $66 million declined 2%, and gross profit per vehicle retailed at $1,529 was up 3% compared to the period a year ago. In the quarter, we noted a 6% increase in appraisals and a 7% increase in trade-ins acquired compared to the period a year ago with a close ratio of 47%. I'll also note that we continue to move used vehicles to locations that will drive a faster turn and higher gross. In the period, we moved nearly 11,000 vehicles with good success at retail. At September 30, used vehicle days supply was 43 days compared to 46 days a year ago and 47 days at June 30. During the quarter, we've reduced our used vehicle days supply to better prepare for seasonal pricing changes, and we experienced moderate wholesale loss. Same-store parts service and collision revenue of $569 million increased $5 million or 1% compared to the quarter a year ago. We're pleased with our results in customer pay where revenue increased, up 3% to $193 million. It marks the fifth consecutive quarter of year-over-year increases. This gain was more than offset by a significant decline in warranty revenue where our repair order count dropped about 10% year-over-year. We attribute this to the ongoing trend of fewer units in operation and improved vehicle quality. Gross profit of $238 million declined to $8 million or 3% compared to the quarter a year ago. Customer pay gross profit grew by 2%. However, gains here were offset by a 15% decline in warranty gross profit. As for pay, gross profit was up for the fifth consecutive quarter year-over-year, driven in part by aggressive efforts to grow tire sales and other lower-margin service offerings both aimed at increasing customer retention. I'll also note that there was one less working day in the quarter compared to a year ago. Turning to F&I, we continue to be pleased with our industry-leading performance. Total gross profit in the quarter was $119 million, an increase of $7 million or 7% compared to a year ago. Same-store gross profit for vehicle retailed was $1,200, $1,214 per vehicle, up $84 or 7% compared to a year ago. Results continue to be driven by solid process execution, which drove improved rate and product commissions. We continue to benefit from our strong preferred lender network for prime, non-prime and sub-prime, as well as strong product penetration. The credit environment was solid and stable in the quarter. At September 30, our store portfolio numbered 214 stores and 257 franchises, representing 32 brands in 15 states. In the quarter, we opened GO FIAT in Denver and added 2 smart franchises to existing Mercedes-Benz stores. Our corporate real estate team is also wrapping up several other significant projects that are slated for completion by year end. Looking ahead, we are actively seeking acquisition opportunities that meet our market brand and return on investment criteria. In closing, in the quarter, we delivered a 19% increase in operating income along with record third quarter EPS. We did it with best-ever customer satisfaction levels, low associate turnover, a disciplined cost structure and a one team, one goal approach. I'd like to thank all of our 20,000 associates for their commitment and dedication to AutoNation. And with that, I'll turn the call back to Mike Jackson.
Michael J. Jackson: Thanks, Mike. Our record third quarter results once again demonstrate our leadership position in the industry and the strength of our diversified and adaptable business model. We are optimistic about the long-term recovery for the U.S. auto market and our ability to capitalize on it. We'll continue to use the planning assumption for 2011 full year U.S. industry sales at mid-12 million new vehicle units. And now, I'd like to open up the call for questions.
Operator: [Operator Instructions] The first question is coming from John Murphy, Bank of America Merrill Lynch.
Michael J. Jackson: Hey, John, you there? [Technical Difficulty]
John Murphy - BofA Merrill Lynch, Research Division: Sorry about that, I just got -- just talked on from another call. I have sort of a longer-term question for you guys. I mean, as we look at the first 3 quarters of this year, the SAARs run at about 12.5 million units. And if we look back to a period of time where you had similar earnings to what you did in the first 3 quarters of this year, it would be really the first 3 quarters of 2007 when we saw it was 16.1 million units. And looking at that, you guys have really kind of shut the lights out here on execution and growing your earnings or stabilizing your earnings in a tough time. I'm just curious, as we step forward and the SAAR really recovers, do you think there's any cost creep or any risk that this great execution kind of slips a little bit? Or are we just looking at this real paradigm shift in your earnings potential here and that, as we see the SAAR increase, hopefully dramatically, over the next couple of years, that you really can earn significantly more money than you have in the past?
Michael J. Jackson: John, I'd answer it this way. First, we give an outlook on where we think the industry and the market is going. And there, we are convinced that this market is on a journey back to something around 16 million units plus or minus 500,000 either way. And I think there's 3 fundamental drivers to that. There's definite pent-up demand, genuine replacement need -- the cars that we are appraising everyday and looking at are old and tired, and the customers want to trade them in, with the average age pushing 11 years. At the same time, for the brands we represent, every manufacturer is there with a fantastic product cadence and with the full spectrum of small cars through pickup trucks. And finally, the financing for our customers is very much available and very much at attractive rates. The banks and the finance companies during this disruptive period from '08 'til today really took minimal, if any, losses in automotive retail. And consequently, since there's still stress in commercial real estate in the whole mortgage market in small business loans, they are really interested in the automotive space. So those 3 factors of genuine replacement need, exciting new products and very good financing available convinces me that we're on the road back to 16 million. And the only debate is the rate of the recovery. I think, then, also speaking of '08, '09 and '10, if you looked at AutoNation's performance and knew everyone's validation of the work that we were doing with our eye on the long term, I mean, that was the ultimate test. And if you look at our performance relative to competition, I think we really distinguished ourselves. Now having said all that, we don't give forward guidance per se. We say, "Hey, look at our past performance. Look at where we think the market is going," and the rest is really up to you.
Mike Short: John, this is Mike Short. Let me just add a thought on the operating leverage because I think that's tangentially related to the question that you asked. And I think what we've tried to communicate in the past is we think, right now, our operating cost structure is about 50% fixed and 50% variable. And with the variable elements largely being compensation and things that are commission structure-based. So as time passes, we would expect to see that leverage continue to drop to the bottom line. And we're operating at a pretty -- at dramatically improved SG&A as a percentage of growths from where we were a year or 2 ago, but we're still not back to where we've been at the past. We've been down below 70% as in SG&A as a percentage of gross in the past, and our goal is to get back there and continue to drive that number lower. And we're -- we've been investing, as Mike mentioned, throughout the downturn in some of the very important initiatives that we have and including our Shared Service Center and that's coming along very well. We're almost done with the rollout of that. We have one region left to go that we should do next year, as well as building new capabilities. For example, we're only starting -- we're in the very early innings of developing our ability to leverage our purchasing capability. And so there's additional opportunity out there for us. But we're working hard on it and I think you're seeing it in the results.
John Murphy - BofA Merrill Lynch, Research Division: And second question. Obviously, pricing was strong in the quarter. That was a really good factor for yourselves and the industry. There's some real concern that is Toyota and Honda restocked, that we're going to see this new round of pricing wars as they try to call back some of their lost market share, which I'm not sure I would really agree with. I just wanted to hear your thoughts on that specifically because it doesn't make a whole lot sense to me, given that inventory is tight across-the-board and probably will still be tight there. And it seems not to be too logical but this is a real prevailing thought that pricing might erode significantly and may impact your business as well as the industry at large.
Michael J. Jackson: John, it's Mike Jackson first, and then I'll have Mike Maroone discuss it in more detail. In principle, I see a much more rational, sustainable industry than what we've had in the past. And I think the manufacturers have really fundamentally changed their outlook. Not to say it won't be competitive, but I really don't see a price war being unleashed as the Japanese availability improves in the marketplace. I think incentives will step up somewhat. But my sense on Domestic is that they know they've stabilized their share. They know -- they may even have improved their share somewhat but that they have a spike in share due to the lack of availability by the Japanese. And I don't see any steps on their part to do mega-programs like that we had in the summer of '05 of employee pricing in order to try to keep their share at $47.5. So I don't expect that. I expect that it'll be normal marketing between here and now, and by that, I mean aggressive and competitive, but no attempt to say the domestics have to stay in the high 40s. Having said all of that, I think we have had an extraordinary detour away from normal marketing for 6 months with this unique situation with the Japanese. We learned a lot from it with our pricing tools, some of that, I think, is the permanent value to us, but there'll probably be some impact on front-end gross profit going into the fourth quarter. But I don't see anything dramatic in [indiscernible] like that.
Michael E. Maroone: John, just to support Mike's view. We're about to roll out version 3 of our pricing tool. And we believe that we've really developed a new capability in this disruption. No, I don't believe we can maintain our Q2 and Q3 margins, but we definitely believe that there's opportunity over where we've been in the past. We've improved margins both on the Domestic side and the Premium Luxury side and the Import side, so we're optimistic. We're updating our pricing weekly now. Our whole organization is focused on it. We just got done doing our quarterly operating reviews and everybody is confident that we have developed a new capability and we can put it to good use going forward. I do want to point out, as I did in my script, though, that in Q4, we've got a comp that includes about $250 a car that was a onetime performance-based incentive last year.
John Murphy - BofA Merrill Lynch, Research Division: Okay. And then just lastly, on the share repurchase program or the new one that's been in place and what's been going on for years. From 2003 to where we are right now, you've cut your share count in half. If you were to keep that rate up, you guys would have bought back all your shares in the next 8 years, if you've kept up that absolute rate. I'm just curious as to -- all of us in the investment community is thinking about where your share count ultimately will go and really what the end goal is here. It almost seems like it's a slow-motion or maybe not even such a slow-motion privatization of the company. Just curious, how far do the share buybacks go? Obviously, they make a lot of sense from a capital structure standpoint. But just curious, how far you go with this.
Michael J. Jackson: Well, I think, share buyback has been very beneficial for our shareholders over the years. And I think it's actually, on my watch, more than 1/2. I think, when I arrived, it was something like 530 million shares outstanding and today we're at 140 million shares outstanding. And if you look at how we bought in this the last quarter, again, we did it opportunistically. The -- there's a lot of volatility in the equity markets that applies to us also. So large price swings within the quarter, and we saw moments where we could step in and take advantage of it. Whether we'll have those types of opportunities in the future, no one knows. We don't know. So again, we have the same capital allocation approach that we've had since I've been here. And there is no end game specific in mind. We decided on a quarter-by-quarter basis, looking at the opportunities on acquisitions, and we have share repurchase opportunities. And we discuss the full range of capital allocation possibilities that are there. And we make those decisions on a quarterly basis.
Operator: The next question is coming from Himanshu Patel of JPMorgan Chase.
Amy L. Carroll - JP Morgan Chase & Co, Research Division: This is Amy Carroll, in for Himanshu Patel. I had -- have a few questions. I wanted to touch base a little bit on the retail used vehicle margin. I think, like, last quarter, you guys had suggested that it would be -- pricing would be more of an issue but that the margin would still be relatively okay. I mean, I heard what you just said to John, but do you mind just kind of drilling down a little bit deeper on what was the change and what was expected versus what actually occurred?
Michael E. Maroone: It's Mike Maroone, Amy. A couple of things. One is, we have continued to grow what we call the VVO, or Value Vehicle Outlet business, which are lower-priced cars that have the lower margins. We retailed 4,300 of those in the quarter at lower margin, but we believe we're expanding our customer base in doing so. So that was one. Secondly is, as the inventory disruption occurred, we got very aggressive buying Hondas, Toyotas and other import products. And frankly, the market shifted slightly as they began to resume production. That production resumption was a little bit ahead of schedule, and so what we did is we liquidated some of that inventory and took both -- took small wholesale losses but also took lower retail grosses. So I think that it was a little bit of an unusual situation but we felt that we wanted to get right-sized so that we could compete in both the new and used vehicle business. I think the third factor is that the Premium Luxury segment had far less of lease returns, and those were generally high-margin business that we did not -- we're not able to take advantage of in that quarter. So all in all, our used car business was up slightly. We did give up a little bit of gross, but we feel very good about our position today, and our inventories are clean and in good shape. And we're looking forward to performing in the quarter.
Amy L. Carroll - JP Morgan Chase & Co, Research Division: Okay. And could you just clarify how many of the Japanese -- I think you said 44 total days of use or 43. Do you have a breakout of like the different, like, J3 versus domestics and premium?
Michael E. Maroone: Generally, I don't have it at the tip of my fingers, but it generally doesn't change much. We try and run normally in a 35- to 38-day supply, and I think you'll see our inventories in that range in the fourth quarter, but it doesn't vary greatly. Where we did have exposure in our import, we did bring that down at the end of the quarter. And again, as I said, we're in good shape today. So that doesn't vary much by segment.
Amy L. Carroll - JP Morgan Chase & Co, Research Division: Okay. And then the last question I had was on your comments about interest and acquisitions. Are you guys looking to fill in, like, brands or footprint? Or you could give a little bit color on what you're looking for and what the size, like what you see in terms of size potential that you could possibly have appetite for.
Michael J. Jackson: This is Mike Jackson. We've had basically the same diversified strategy since I've been here. But when it comes acquisitions, the principle is density and all the major brands in the market. So we are very much focused on our existing footprint, not going to additional markets. And then we're targeted. And ultimately, ideally, someday we'd like to have all the major brands within the markets that we're in. We think there's a lot of power in that idea, in that concept. Whether we'll be able to get there or not is another story entirely, but that's where the focus of our acquisition team is and that's where we'd ultimately like to be.
Operator: The next question is coming from Rick Nelson of Stephens.
N. Richard Nelson - Stephens Inc., Research Division: You are hearing that crown stock the dealer locks [ph] is building very slowly, and your 45 days supply would suggest that. When do you think we're going to normally inventory levels?
Michael J. Jackson: I couldn't hear the question, Rick. Was it on the Japanese 3? Did...
N. Richard Nelson - Stephens Inc., Research Division: Do you have -- for the J3 getting back to normalized inventory levels. What do you think?
Michael J. Jackson: We have an excellent shipment schedule from the Japanese for the fourth quarter, something over 30,000 units for us. With adding some sort of perspective, I would say, normally we would like to have gotten 27,000. We got under 20,000 in the third quarter and even less than that in the second quarter. So clearly, they are approaching 100%, if not, 110%, 115% on production side. You have to make an assumption on what the selling rate of that is going to be. We think it's going to be fairly high. Meaning, to get back to an inventory level that -- of 45 to 60 days, that would make sense, you're probably in the first quarter of next year, if not, even into the second quarter, depending how the selling rate goes. But so the point is, we'll have good shipments. We'll have good, fresh inventory that's aligned with what customers want. But to really restock is going to take some time of shipments above 100% of market demand.
N. Richard Nelson - Stephens Inc., Research Division: In that type of environment, Mike, would you think the incentives out of the J3 would probably be relatively restrained and you'd be able to hang on to some of those gross profit, into your foresight [ph]?
Michael J. Jackson: I agree with that, Rick. I think there will be some increase in the incentives. The Japanese clearly have to stabilize, if not, recover some share. But I don't see a price war being unleashed that is going to be ruinous for manufacturers and retailers as far as their margins. I think the whole industry is much more rational, much more long-term view, and that's how I expect it to unfold. So it won't be the extreme shortages that we've had for the past 6 months, but it's still -- there's still going to be a imbalance between demand and supply. And I think there'll be some moderation of foreign [ph] grosses but it will not be dramatic.
N. Richard Nelson - Stephens Inc., Research Division: And Mike, you've been very accurate with your SAAR forecast as long as I have followed the company. Any initial thoughts on 2012? [indiscernible] a flat SAAR for 2012?
Michael J. Jackson: Yes, you won't hear the word flat coming out of my mouth. So I think I disagree with that point of view. Again, going back to the 3 fundamental drivers: genuine replacement need, exciting new products, really wonderful financing available. So everything that we look at as sales will be higher next year than they were this year. And I really want to see the inflection rate and the closing selling rate of December to put a number out and say this is where we think 2012 is going to come out, but it will -- I fully expect it will be a number higher than the final number of 2011. It will not be flat. It will be up. The only question is, how much up?
Operator: The next question is coming from Simeon Gutman of Credit Suisse.
Simeon Gutman - Crédit Suisse AG, Research Division: Mike, so following up on the SAAR issue. The 13.1 that we did in September, does that tell you that demand is ready to burst little bit at the seams when the inventory comes back here in the next few months? Or it's just a big mix shift that's going to happen?
Michael J. Jackson: Yes, I think that's what I'm waiting for the fourth quarter to unfold. You never want to forecast next year of as September. September is always the squirrely month with a significant SAAR adjustment factor in it. So I'd really like to see how the fourth quarter unfolds to really make a sound judgment on what next year will be. So -- and I think it's really just too soon to say with too many variables other than I fundamentally believe that 2012 will be higher than 2011.
Simeon Gutman - Crédit Suisse AG, Research Division: Okay, that's fair. And then, if I heard right, there was one less day of, I guess, work in the service -- in the parts and service business. If that's right, can you just quantify if it was significant, any impact on the comp? And then just as far as the gross margin goes and even a little bit of the top line flowing from warranty, unless we get to a new car SAAR, something 14-ish or high 13s anytime soon, it doesn't seem like the whole supply is going to change rapidly. So are we in a new normal here for parts and service for the time being?
Michael E. Maroone: It's Mike Maroone. The one less day adds about 1%. So, on a customer pay gross, we go from 2% to 3%, just as an example. So it does impact the calculation. In terms of where that business is going, we think there'll be pressures on the units and operation for another year. We kind of see a tipping point at the end of '12, beginning of '13 where it begins to climb again, so we are very optimistic about that business. So certainly, we've had significant warranty compression, but I think, when you really think about that, that's a good thing. It really speaks to the products, the quality of the products that's coming out and the customer experience with those products. So we really focus on the customer pay side where we're being very aggressive in our customer offerings and are really glad to be growing that business 5 consecutive quarters on a year-over-year basis with our initiatives.
Simeon Gutman - Crédit Suisse AG, Research Division: Okay. And then one more on -- maybe for Mike Short. The incentives that you're cycling, they've been mentioned several times now. It's a pretty fair amount and there's a little bit of offset, it sounds like. Are there any other offsets to that whereby the total EBIT dollar amount for the business -- or at least, the way it's shaping up, it looks like it's going to be pressured or challenged to show growth, I mean, given the SAAR environment we're in now, unless it gets a lot better. So how do you think about that as far as showing that growth year-over-year?
Mike Short: Simeon, I think that's why we pointed those numbers out to you, because they do disrupt the trend lines a bit and there's not a normal -- there's not an offsetting amount for it. So that's why we've called it to your attention. I think the other thing to consider is that, to the extent that they improve PVR, is that it has a beneficial effect on compensation rates, as well. So -- but there's not an offsetting amount anywhere else in the P&L for it.
Simeon Gutman - Crédit Suisse AG, Research Division: Okay. And then was there any -- in SG&A, was there any item, spend item that were cut back more so in this quarter than the previous even though the sales rate picked up a little with something short-term, such as marketing?
Mike Short: No. When you look at the components of SG&A, I think the real strength in the quarter, what was in the compensation rate in terms of the overall components of the SG&A as a percentage of growth. And again, I would point to the fact that, while there's good control around the overall compensation structure to begin with, the fact that you put those numbers on higher gross profits per unit sold really is an amplifying effect.
Michael E. Maroone: I mean, if I could add. It's Mike Maroone. We have really focused on productivity. And while our gross is up, our headcount is relatively flat. And Mike Jackson has really talked all through the downturn about us making the appropriate investments in developing our people and providing better and better technology. So we're really seeing a -- we're seeing a lot more productive workforce, so that defines what the cost control is really working for us.
Operator: The next question is coming from Patrick Archambault of Goldman Sachs.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: Just on the -- I wanted to circle back on the some of the future efficiency gains that were referred to in one of the questions. I think you had mentioned that, in terms of the Shared Service Center, you had one region that was left to go. And then interestingly, you had mentioned purchasing. I would like to hear a little bit more about that. Are there actual purchasing benefits that you can get? I suppose you can get them on the used side, but on the new side, by having efficiencies with your different manufacturers, or is it in other places?
Michael J. Jackson: It's Mike Jackson. First, the entire company is on the Shared Service Center for certain accounting functions, to be clear. And we had one region to go where we take them to the full level. And Mike, maybe you'd talk a little bit about the different levels there? And then you can talk about purchasing.
Michael E. Maroone: Yes. So Patrick, the -- within the Shared Service Center, there's the base level, and that's accounts payable, receivables, bank reconciliations. And as Mike mentioned, we've rolled that out now. And for the -- over a year, we've had everybody in that configuration. The real -- the next level, which we call extended, is -- has much more beneficial effect in terms of the cost structure. And that's where we actually shift the actual car transactions electronically to our Shared Service Center and they're all processed directly from the Shared Service Center. Just to give you an anecdotal example of that: In all of our stores today that are not in the extended Shared Service Center model, you have 1, maybe 2 people responsible for billing the car deals. For the 3 regions, 75% of the company that we have in the Shared Service Center in extended right now, able to do all of that billing with 8 people. So it gives you a sense of the magnitude of the efficiencies that we can generate and why we're so bullish on the Shared Service Center model here at AutoNation. And yes, it's running very well in the 3 regions where we have it operating right now. So Florida region is the only region that has not yet gone into extended Shared Service Center. We're just completing the central region right now, and Florida will go next year. So I think that's the key behind it. On the purchasing side, we do have a sourcing group here within the company. They're doing a great job. We're thinking about, now that we've demonstrated the capability, expanding their scope to other spend areas. I want to be clear, though: We're not talking about the -- purchasing new vehicles from manufacturers at different prices. This is primarily in SG&A items, potentially aftermarket parts purchases and things like that. It's less about the buying of vehicles. With respect to our used vehicle business, we do have people who have specific expertise in buying used vehicles on behalf of our stores, but that's different than the kind of core purchasing areas in SG&A and parts and service that I'm talking about.
Michael J. Jackson: And coming -- it's Mike Jackson, again, coming back to the Shared Service Center. So of course, there's a cost benefit and an efficiency benefit, but the transparency and the controls that we have in the enterprise through the capabilities of the Shared Service Center are really remarkable. And again, I think it has epitomized, it's a project that epitomizes AutoNation. It's a 5-, 6-year project, Mike?
Michael E. Maroone: At least.
Michael J. Jackson: 5-, 6-year project that is quite daunting at the beginning. It took a lot of investment in the early years, a lot of disruption, a lot of pain. But we know, at a certain point, it would turn and pay a tremendous benefit to the company, and we're willing to do that in a lot of different areas of the enterprise. And over time, that builds a momentum for the company.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: Yes, that's very helpful. In terms of -- in that case, right, I mean, if you look at the past years where you've hit sales numbers in that 16, 15, 16 range that you've cited over the long term we could get to, you've been at SG&A at a gross profit of as low as 71 on an annualized basis. Just given where you are and just how far along you are in some of these initiatives, can you get materially below that ratio in a similar kind of volume environment?
Mike Short: That's the goal, Patrick. And we've been below 70% on -- in individual quarters. We've had a quarter that was at 68% and changed, and so we're targeting that. And we -- the entire organization is focused on it. It's not just the finance organization. I would point out that these ratios have both a numerator and a denominator to it, and the partnership that exists between the finance organization and the operations team at AutoNation is one of the hallmarks of the company. And because we're able to work together to identify benchmarking opportunities, we can drive both the numerator and the dominator. And the breadth of the portfolio that we have allows us to do benchmarking analysis and the number of things that we build capabilities around that are unique to AutoNation that separate us from our peer group.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: Got you. And one last one. I'd be remiss if I didn't ask about how auto sales were trending this month. It sounds like some of the initial 10-day service were pretty good, but any color on that?
Michael J. Jackson: Well we never -- as again, one of the things we never give color on during the mid of the month. However, we're the one company that will report on new vehicle retail sales at the end of every month to try to give you the most accurate information in a timely manner. If there's one thing I learned in this business is, in the middle of the month in the car business is not a good time to stick your neck out as to what's going to happen. You wait 'til the end of the month when it's clear and the dust settles and you go out and make a clear statement. So that's how we do it. And I think, next week, we'll be out with our number.
Operator: The last question is coming from Colin Langan of UBS.
Colin Langan - UBS Investment Bank, Research Division: It seems like that, manically, you had enjoyed quite a bit of cash during the quarter. You repurchased $195 million shares worth of shares and your cash was down only $15 million and that was only up about $50 million. So which part of the -- I guess a lot of that was from working capital. Which part of the working capital actually drove a lot of the cash flow generation for that?
Mike Short: It's driven by a number of things, Colin. Working capital is a primary component of it. The actual details of what's within working capital, we haven't broken out in the past. The inventory size, we've worked down the used inventory, and some of the declines in new inventory don't affect at all that much because those are financed through our floorplan facility. So it's really managing payables and receivables.
Colin Langan - UBS Investment Bank, Research Division: And so when you rebuild some of the used inventory in the future, does -- will that mean you're going to dip into the revolver to...
Mike Short: More at -- right now, much of that used inventory is forward so it doesn't require us tapping into the revolver, to the extent that we have the floorplan capacity to continue to do that.
Colin Langan - UBS Investment Bank, Research Division: Okay. And you were talking before about parts and services. I don't know if I got this right, but you said that the tipping point, I guess, would be 2012. And what does that mean? Is that when that is when it will be the worst? And does that mean it should be relatively flat until that point? And why 2012, just things suddenly start to get better?
Michael E. Maroone: It's Mike Maroone. It's really 2012 to 2013 and that's the units in operation. And that really reflects the downturn in the '08/'09 period and the improvement in sales in '10, '11 and '12. So that units in operation. You'll see vehicles beginning to be scrapped, and you'll see more -- the increase in sales, basically, will drive the UIO. And there's not a precise moment. But we do believe that we have been in a downward trend in UIO, we know we have been, and we believe that'll turn back upward in the '12/'13 timeframe.
Colin Langan - UBS Investment Bank, Research Division: And from your sales perspective, is that -- I mean, that downturn has been a current headwind so it's not that we're going to see negative declines in parts and services over the next year or...
Michael E. Maroone: No, I think that, well, there's been strong headwind on the warranty side that really reflects the UIO and quality, and we've really worked hard to offset that on the customer pay side. So the customer pay is about 1/3 of our revenue and about 45% of our gross margins, so that's why we focus so much on the customer pay side. And our goal is to keep it positive and keep that business growing through our customer pay initiatives.
Colin Langan - UBS Investment Bank, Research Division: Okay. And in that business, you mentioned the margins were hit by increasing tire sales. Does that mean that the current margin is a normal run rate? Or is this maybe a bit lower than normal because it's down sequentially?
Michael E. Maroone: We -- our focus has really been on serving all of our customers' needs and really broadening out our service offerings in what we call good, better, best, as well as tires. Some of those activities are lower margin and our tire business is one. That's a low margin business but it keeps customers in our service department. It gives us an opportunity to make additional offerings. So I don't -- we don't project our margins going further down, but at the same time, we're willing to compete for all kinds of businesses, the high-margin part of the business, and there are opportunities to compete.
Colin Langan - UBS Investment Bank, Research Division: Okay. And just one last question. I know, last year, earnings were up from Q3 to Q4, but that is sort of not normal seasonality, and I guess you did point out luxury is a part of that. But we do seem to be heading in a period where it sounds like Q4 actually might, from a sales perspective, be pretty strong. Does that -- could that pattern -- I mean, is it -- would it be surprising again to see abnormal seasonality where earnings actually rise into the fourth quarter?
Michael J. Jackson: I don't really understand the question.
Mike Short: Yes, I missed the piece of that. Please, if you could say that again, Colin?
Colin Langan - UBS Investment Bank, Research Division: Well, I believe, historically from Q3 to Q4, you usually see earnings decline because, usually, auto sales fall. I think it was the opposite last year. Is that possible to see that again this year, or should we go back to normal seasonality again?
Michael J. Jackson: Well, if you're asking for earnings guidance, we don't give earnings guidance. So we call where the market is, we talk about our past performance, but we don't give earning guidance. So everyone, thank you for your time today. Appreciate it very much.
Operator: This will conclude today's conference. All parties may disconnect at this time.